Operator: Good morning, ladies and gentlemen and welcome to the SPX FLOW Second quarter 2019 Earnings and 2019 Guidance Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Ryan Taylor, Chief Strategy Officer.
Ryan Taylor: Thanks Ian and good morning everyone. Thank you for joining us. With me on the call today are Marc Michael, our President and CEO and Jaime Easley, our Chief Financial Officer. Our Q2 2019 earnings release was issued this morning and can be found on our website, spxflow.com. This call is also being webcast with a presentation that is located in the investor section of our website, which includes details of our Q2 results. A replay of this webcast will be available on our site later today. Note that elements of the presentation contain forward-looking statements that are based on our current view of the businesses and their markets. Those elements are subject to change and we ask that you view them in that light. Principal risk factors that may impact our performance are identified in our most recent SEC filings. And in the appendix of today's presentation, we have provided reconciliations for non-GAAP and adjusted measures. Before we begin today, I want to highlight some key changes to our reporting. As announced on May 2nd, 2019, we are focusing our strategy on building a premier process solutions enterprise and as part of that strategy, we are pursuing the sale of our Power and Energy business. In our Q2 financial reporting, the results for the Power and Energy business were reported as discontinued operations for all periods presented, reflecting management's determination that it is probable the sale of the business will be completed within the next 12 months. The continuing operations of the company were reported in two segments: Food and Beverage and Industrial, the latter of which now includes certain product lines previously reported in the former Power and Energy reportable segment. These product lines are not being offered for sale. Most notably, this includes our Bran+Luebbe metering and dosing pump business. Note also that the appendix includes re-casted segment results for 2017 and 2018. Within our continuing operations, costs that support the Power and Energy business have been reclassified as corporate expense. These costs that were previously allocated to the former Power and Energy segment totaled approximately $6 million on an annual basis or roughly $1.5 million per quarter. Additionally, in accordance with GAAP accounting, a portion of interest expense has been allocated to discontinued operations in all periods presented today and in our guidance. The allocated portion totals approximately $13 million of interest expense on an annual basis, and approximately $3.25 million per quarter. Our 2019 guidance is now on a continuing operations basis with certain measures adjusted to exclude discrete items that are unique to the year. This includes investments we're making to support our long-term strategic growth plans. Note that our 2019 guidance is pegged at currency rates as of June 30th and lastly, with respect to the divestiture of Power and Energy, please keep in mind that this process is ongoing, and we intend to provide comments and updates only when we determine that further disclosure is appropriate or required by law. Specifically, we do not intend to discuss confidential elements of the sale process. With that, I'll turn the call over to Marc.
Marc Michael: Thanks, Ryan. Good morning, everyone, and thanks for joining us on the call. 2019 represents a significant pivot point for our business as we are taking deliberate steps to narrow our portfolio focus, enhance customer focus and further simplify our operating structure. To say Q2 was a better [ph] quarter for our team is an understatement. I want to start out this morning by thanking all our team members across the enterprise for their hard work, tireless effort and positive contributions to the quarter. I'm pleased with the progress made on many fronts and confident in our plan to build a premier process solutions enterprise with a strong balance sheet and customer-centered growth strategy. We're excited about the future and remain committed to creating long-term value for our shareholders, customers and employees. Since the start of 2016, we've been on a journey to transform SPX FLOW into a high-performing operating enterprise. We've made significant progress along the way. The journey to high-performance continues in 2019 as we work toward driving a world-class customer experience, creating a higher quality of revenue, and expanding gross margins. On the strategic front, we've been taking delivered steps to reduce our exposure to cyclical Power and Energy markets and large dry dairy applications. These verticals contributed to volatility in our historical operating performance, and overshadowed the underlying profitability and quality of revenue generated in our high-value product lines. As we begin the second half of 2019, we are nearing an inflection point in this portfolio of transformation. In dry dairy, execution on the large orders we won back in 2017 is winding down, and we have been methodically reducing our exposure in that micro vertical. In parallel, the process to sell our Power and Energy business is moving forward with positive momentum. As Ryan mentioned, the results of this business were reported as discontinued operations, reflecting our confidence in completing a sale within the next 12 months. As we approach that milestone, I want to ensure to you that we understand the scope of the supporting cost for the business and are well-prepared to reduce overhead in a timely manner upon completing the divestiture. Once complete, we intend to quickly redeploy the proceeds on organic investments, further deleveraging, and return to shareholders. This will further strengthen our balance sheet and provide ample financial flexibility to invest for growth, and create value through disciplined ROIC-centered capital allocation going forward. With an eye on the future, we're aligning our organization design to enable optimum value creation and deliver a world-class customer experience as a premier process solutions enterprise. As part of this concept, we are committed to achieving 2% to 3% cost productivity through the reduction of overhead cost and material spend along with further simplification and streamlining of our functional support. We've invested substantial time in the first half of the year detailing our plans to achieve this goal. We are refining those plans and expect to execute them over the next 12 to 18 months. Our goal in that timeframe is to achieve mid-teens EBITDA margins and double digits ROIC in our process solutions business. Over the long-term, we believe there is potential to achieve an even higher margin and ROIC profile through organic growth and continuous operational improvements. We believe this portfolio of products has organic growth potential in the 4% to 6% range through an economic cycle. Dwight Gibson transitioned into a broader role leading one combined commercial team with increased focused on utilizing innovative customer market analytics to drive growth. He is realigning his team to drive in more focus on product development, commercial operations and project delivery. Dwight and Ty Jeffers, our VP of Global Manufacturing and Supply Chain, are working closely together to optimize and leverage our pathway to excellence lean approach and increase speed and efficiency of customer fulfillment. Looking at our Q2 results, I want to first highlight the chart on the right side of the slide which compares our actual results on a consolidated and comparable basis versus our May 2nd adjusted guidance, which includes Power and Energy. As you can see, we exceeded our guidance ranges for revenue and profitability. We delivered $513 million of revenue and $64 million of EBITDA. On the old segment reporting, both Food and Beverage and Power and Energy exceeded revenue expectations through strong backlog conversion. Segment income came in at $62 million, $6 million or $0.11 per share above the midpoint led by strong gross margin performance in Industrial and Power and Energy. Our Power and Energy team delivered double-digit operating margins in the period and grew orders more than 40% from Q1 to Q2, driven by pipeline valve orders in North America and global aftermarket. I'm quite proud of Jose Larios and his team for executing at a high-level operationally while also managing the divestiture process. On a consolidated basis, comparable to our guide, we delivered $0.65 of EPS, that's $0.18 or 38% above our midpoint. Also in the quarter, we completed our strategic restructuring actions on time and under budget. With the large dry projects in Food and Beverage to ramping down, accordingly, we completed actions late in the quarter to reduce our cost structure in that technology category. Additionally, we also closed the facility in South America. Strengthening our balance sheet has been a consistent point of emphasis for us for the past three years and we've made remarkable progress over that time. In Q2, we made a voluntary prepayment of $20 million on our term loan and ended the period with net leverage at 1.8 times, a significant milestone. To top it all off, at the end of June, we proactively amended our senior credit facility, extending the maturity to 2024 while also achieving modestly better pricing and increasing capacity to support our long-term growth strategy. We now have no materials required debt payments until 2022. I want to reiterate my sincere gratitude to our teams for their effort in the quarter. We are executing our strategy and effectively manage the things we can control. Turning to the economic environment. Softening macroeconomic conditions contributed to a year-over-year order declines across most of our businesses in the first half. In the second quarter, orders for continuing operations declined 14% year over year on an organic basis, broadly reflecting delayed capital spending across our customer base with a slowdown in short cycle activity across most of our industries. From a regional perspective, these impacts were most prominent in North America and to a lesser degree, Asia Pacific. Our original guidance for the year anticipated a healthier demand environment to drive sequential order growth. While we are encouraged with the stability of orders from Q1 to Q2, we have reduced our full-year revenue guidance by $50 million to reflect the level of orders booked in the first half in the current economic environment. Even with that adjustment to revenue, we anticipate profitability in the second half to improve significantly. Looking at the second half guidance as compared to the first half, we are targeting approximately 250 points of margin expansion at the segment level primarily driven by gross margin improvement. Additionally, we expect to see incremental cost savings half to half. The majority of the margin expansion is expected in our Food and Beverage systems business, where we've been increasingly selective on new orders over the past year while also improving project execution delivery. We focus our funnel of system opportunities on higher-value market segments where we have world-class process expertise in areas such as fermented dairy, nutritional beverage, condiments and fats and oils. In contrast, we've been methodically reducing our backlog of large dry dairy projects and expect to see a $20 million decline in this revenue stream in the second half, which will be accretive to the overall margin profile in Food and Beverage. Our second half guidance assumes order rates across our short cycle product lines and in our spirits and service business remains stable in the first half. With that underlying assumption, our second half revenue targets for components and aftermarket sales in both segments are roughly flat to the first half. Looking at the full-year guidance. This chart provides a high-level walk from the consolidated guidance we provided on May 2nd due to the continuing operation guidance we provided this morning. We've taken the discontinued operation out of our guide. This represents $500 million of revenue, about $50 million of segment income and approximately $72 million of EBITDA, which is not fully burdened with supporting cost. In the continuing operations, we lowered our organic revenue target by approximately 3% or $50 million. We adjusted our segment income and EBITDA targets to reflect our first half performance, the lower anticipated second half revenue volume along with countermeasures we implemented to mitigate those declines. On a continuing operations basis, we're targeting about $1.5 billion of revenue, $200 million of segment income and approximately $180 million of adjusted EBITDA. This guidance assumes corporate expense of approximately $50 million, which includes the $6 million of annual cost supporting the Power and Energy business. As the execution of our strategy progresses and at the appropriate time, we intend to provide more discrete modeling assumptions for the following items related to the sale of our Power and Energy business: The amount of net divestiture proceeds and the expected timing and breakdown of capital redeployment; the cost and benefits associated with our 2% to 3% cost productivity goal, as well as, further detail on these actions in facing the margin benefits; and investments in strategic growth, including new product development and capital expenditures, which we expect to increase gradually over the next few years. That concludes my opening remarks. At this time, I'll turn the call over to Jaime to provide more color in our Q2 results, guidance and financial position.
Jaime Easley: Thanks, Marc, and good morning, everyone. I'll begin with earnings per share. The reported Q2 EPS of $1.47 per share. The EPS from continuing operations was $0.27 and EPS from discontinued operations was $1.20 per share. The discontinued EPS included a $0.95 or $41 million tax gain resulting from basis differences that are expected to be realized on the Power and Energy divestiture. Looking at EPS from continuing operations, the effective tax rate for the quarter was 50%, well above our guidance assumption of 29% due to losses incurred in countries where we do not expect to realize a tax benefit. A portion of these losses related to cost incurred with a facility closure in South America. On an adjusted basis, we're using a 29% tax rate, consistent with our guidance to calculate earnings per share. This is a $0.10 adjustment from reported EPS. The other adjusted items include $0.01 of professional fees associated with investments we are making this year to develop our growth strategy, a $0.04 charge related to strategic restructuring actions and a $0.03 benefit from mark-to-market gain on the legacy equity investment. Excluding these items, adjusted EPS from continuing operations was $0.39 in the period. This is the same basis we were using for our full-year guidance. Taking a look at the segment results and starting with Industrial. Note that figures in all periods have been re-casted to include Bran+Luebbe and other smaller product lines previously reported in the Power and Energy segment. Q2 was $207 million, down 5.5% year over year. Currency was a 2.4% headwind. Organic revenue declined 3% due to a lower level of capital projects, and decline in shipments of dehydration equipment. These declines were partially offset by growth in heat exchangers and mixers. Despite the revenue headwinds, segment income improved 8% versus the prior year, coming in at $31 million or 14.8% of revenue. Margins expanded 180 points driven by higher gross margins, which came in at nearly 37%. This reflects improved operating efficiency across our factories, net benefits from cost price, as well as, increasing our focus on driving a higher quality of revenue. Looking at orders, organic orders were down 8% versus the prior-year period, reflecting the overall slowdown across Industrial short cycle demand particularly in North America. The decline was across the majority of our Industrial products with the exception of our Lightnin and Plenty mixers, we saw high single-digit growth in orders. We continued to see exceptional performance with our mixer business this year. Moving on to Food and Beverage. Revenue for the quarter was $179 million, down 5% year over year. Currency was a 3% headwind. Organic revenue declined 2%. This was due, in part, to a lower level of systems revenue than anticipated. Component sales in North America were also down versus the prior year partially offset by modest growth in aftermarket sales. As it relates to North America, we believe the decline in component revenue is due to delayed capital investments by U.S. Food and Beverage producers, most likely attributable to tariffs imposed on exports. Segment income was $14 million and margins were 7.8%. Profitability in the quarter was diluted significantly by net losses incurred on two large dry dairy installations, and certain costs to exit a facility in South America. The lower volume of high-value component sales also contributed to the year-over-year income and margin declines. We expect margins to improve significantly in the second half as Marc described. Organic orders in the segment declined 21% broadly reflecting customer delays on capital investments for process systems, particularly in Asia Pacific, and a lower level of orders for components in North America. Dwight Gibson and his team continue to remain disciplined and strategic in their approach to systems opportunities. That funnel of system opportunities is healthy, and we are seeing much better quote in order activity at the outset of Q3. Moving on to guidance. Taking a look first at our Q3 guidance on a continuing operational basis. We are targeting approximately $370 million of revenue. This represents a high single-digit decline to the prior year. We are assuming a currency headwind between 1% and 2% and an organic revenue decline in the high single digits. Our guidance assumes a mid single-digit organic decline in the Industrial segment and a double-digit organic decline -- revenue decline in our Food and Beverage, a large portion of which reflects the revenue contribution from large projects ramping down. Overall, our organic revenue assumptions for Q3 reflects the softer order development we've described and the broad slowdown in short cycle Industrial activity we've experienced over the last two to three quarters. We are targeting about $50 million of segment income with margins of approximately 13%. We are modeling corporate expense at around $12 million. This includes $1.5 million of cost supporting the Power and Energy business. Adjusted EPS is expected to be between $41 million and $48 million -- I'm sorry, adjusted EBITDA is expected to be between $41 million and $48 million and our adjusted EPS guidance range is $0.41 to $0.53 per share. This assumes interest expense at $7 million and a 27% tax rate. Looking at the full-year continuing operations guidance. Let's first walk through the material changes to our May guidance in a little more detail, beginning with the segments. In our Industrial segment, we are now targeting about $815 million of revenue and margins in the 14% to 15% range. This guidance for the segment now includes approximately $80 million of revenue previously reported in our Power and Energy segment. This is primarily our Bran+Luebbe product line. On an organic basis, we reduced our target for Industrial revenue $20 million from the May guide, reflecting the slowdown in short cycle demand. In Food and Beverage, we reduced our revenue target for the full year to a range of $675 million to $695 million. This reflects a lower level of component revenue, as well as, the delays we've seen in customer spend on capital projects. Margins in Food and Beverage are now expected to be in the 11% to 12% range. This reflects the low level of profitability in Q2, which was below our expectations and the impact of detrimental margins on the reduced component revenue. Two other key updates to our guidance. As mentioned a few times already, corporate expense now includes $6 million of annual cost supporting the Power and Energy business. We are keeping these costs in our guidance to maintain accountability for addressing upon completing the divestiture. Looking at interest expense, we are now allocating about $13 million of 2019's interest expense to discontinued operations consistent with the accounting methodology for discounts. Our continuing operations interest expense is now $30 million for the year. As you think about modeling interest expense in future years, I think $30 million is reasonable, if not a conservative estimate. Based on our thoughts today, the use of the proceeds -- the divestiture proceeds, it is fair to assume we will look to reduce our annual interest expense to $30 million or less. The next slide offers a more comprehensive view of our full-year guidance ranges and modeling assumptions. We've covered a lot of this already, so I'll be brief. For 2019, our adjusted EPS from continuing operations guidance is $1.85 per share at the midpoint. Note this assumes $30 million of interest expense and a 29% tax rate. Adjusted free cash flow is expected to be between $80 million and $90 million. This assumes just over $20 million of CapEx and modestly positive working capital impact for the full year. Moving on now to our balance sheet, liquidity, and capital allocation principles. Let's start and take a look at the credit facility. During the quarter, our treasury team worked together with our lender group to successfully amend our senior credit facility. As a reminder, our prior facility had been in place since the spinoff in 2015, and was set to mature in Q3 2020. Our new facility includes a $100 million term loan, a $500 million revolver with borrowing capacity in USD, and certain foreign currencies, a 10% increase from our previous facility. And a $150 million foreign credit instrument tranche, which allows for the issuance of guarantee instruments to provide performance security to our counter parties in certain transactions. Through the amendment process, we were able to modestly improve pricing, simplify on our pricing grids and are now able to fully net our global cash balance against gross borrowings for purposes of compliance reporting. On the right side of the slide, you can see the maturity schedule for all of our debt instruments, including our senior notes. Note that our maturities are staggered and we have no material required principal payment until 2022. I would like to thank our banking partners for their continued support of our company. Getting this amendment finalized marks an important step toward providing committed financial capabilities to our teams as we pursue value creation through our strategic plans. On this next slide, you can see an overview of our current capital structure. At the end of Q2, we have $187 million of cash on hand and gross debt of $732 million. And net leverage was down to 1.8 times at the end of the period. Debt to total capital was 42%. Just over 80% of our outstanding debt is at attractive fixed rates, with just under 20% floating debt, which has interest rates at approximately 4.25%. As I mentioned previously, our adjusted free cash flow for the year is expected to be between $80 million and $90 million, the majority expected to be generated in the second half. We remain committed to using the majority of the cash to reduce debt. Through June, we've paid down $20 million of debt. Our full-year commitment to debt reduction remains $50 million to $75 million. Between cash on hand and our revolver, we have over $650 million of liquidity today, and when we consider the potential proceeds from the Power and Energy divestiture, we expect to be in a very strong financial position. As we consider our options for deploying these proceeds, based on current information, our intention would be to allocate it to a mix of organic growth investments, further deleveraging and return to shareholders. Stepping back and thinking in more general terms of capital allocation, our approach will be ROIC-based. You can see our guiding principles on the right-hand side of this chart. ROIC-centered approach to deliver enhanced shareholder return, invest in business through all economic cycles, maintain a strong balance sheet and financial stability, target net leverage between 1.5 and 2.5 times. We intend to target financial ratios that are consistent with investment-grade profile. Going forward, we'll continue to prudently invest capital in areas of opportunity that provide strong ROIC and create long-term value consistent with our strategy. With that, I'll turn the call back over to Marc for closing remarks.
Marc Michael: Thanks, Jaime. In closing, 2019 represents a significant pivot point for our business as we execute our portfolio strategy, simplify our operating structure, and enhance our customer focus. Our objectives include driving a higher quality of revenue throughout our portfolio, aligning our organizational design to enable optimal value creation and a world-class customer experience, continuing to drive improved cost productivity throughout our operations, and strengthening our balance sheet to be in a position to invest in our business throughout economic cycles, and have flexibility to invest capital on the highest return opportunities. Once again, I want to thank our teams across the enterprise, as well as, our business partners for their hard work, tireless effort and positive contributions to the quarter. We are excited about the future, and remain committed to creating long-term value for our shareholders, customers and employees. That concludes our prepared remarks this morning, and at this time, we'll open up the call for questions.
Operator: The first question is from Nathan Jones from Stifel.
Adam Farley: Hi good morning. This is Adam Farley on for Nathan.
Jaime Easley: Hey, good morning, Adam.
Marc Michael: Hi Adam.
Adam Farley: I just wanted to talk about the commentary around short cycle to begin with. How did your order book progress through the quarter? Was the weakness broad-based across end markets or more concentrated? And then also, if you could just comment on some of the longer cycle projects, how is that holding up as well?
Marc Michael: Yeah, sure, Adam, I'll take that. And Jaime, jump in if you've got any color to add. I think it's best if we look at it by segment. I think the main stories would be in food and beverage, we're seeing overall market demand, a bit softer and in North America, our short cycle business, for the components part of what we do in the market is slower than we expected. As we mentioned, we believe this is really associated with tariffs from China that are influencing customers' capital spend decisions. So that's influenced a slowdown in our North American short cycle components business. And in China, our systems business has been a bit slower to develop than we planned. Some of that is due to timing. We had some LOIs in hand in Q2 that didn't translate into orders and we're actually starting to see those come through here at the beginning of Q3. So we're off to a good start in our systems business in Q3. The other thing I would say in our systems business is we've indicated throughout the last couple of years is the discipline in pricing that we're maintaining in the selectivity of the projects. So in some cases, we are walking away from some orders if the pricing has gotten too competitive. So that's kind of the situation in China. I would say that in China on a sequential basis, we did see a pickup in our business overall in Food And beverage, which was nice to see. And then in food and beverage in Europe, we are seeing some improvements and we hope to see that region really exceed our expectations and see some upturn there. With what's going on with the trade wars, as some of the slow down so happened in North America, we believe that some of the purchases are starting to happen out of Europe, from China purchasing goods and we hope to see some upturns in our European business as a result of that. So pretty kind of mixed story there in food and beverage. But overall, I would sum it up. Slower North American component business, slower than we expected in systems in China but expected to recover in the second half of the year. We're already seeing some of that here in Q3. And in Europe, we're pacing at or better than what we'd expect that so far in the year. And then if we look in industrial, I think the big story in industrial, it was a bit of a moderation in our short cycle orders, especially as exiting Q2. We saw hydraulics and dehydration slowing a bit. Mix orders were still pretty good and then our pumps business was still pretty stable sequentially. So across North America and Europe, that was kind of the story North America in Europe. And then in China and across the APAC region, we really saw a nice acceleration from Q1 to Q2 in our short cycle industrial business. So again, a bit of a mixed story there in industrial, slower in North America and Europe but accelerating in China and the APAC region. So that's what brought us to really holding our short cycle business kind of consistent to what we saw in the first half, again just given the sequential stability that we saw in our orders overall from Q1 to Q2 in the short cycle part. And so we've really just maintained that through the second half of the year with an uptick of our orders planned in the systems business based on the developing orders in China. So again, as I mentioned, Q3 is soft to a good start, meeting our expectations, and we're on track as we've gone through the first five weeks or so here.
Adam Farley: All right. That's really helpful, Marc. Then just turning to this cost productivity goal. Could you just provide some color like some of the initiatives you guys are doing, and then update on your operational excellence journey, and what areas in the business you can continue to improve on? Thanks.
Jaime Easley: Yes, and I'll take that one. So as we talked last time we were together, I think we mentioned at your conference the plans that are coming together around that have been developing nicely. Going back a bit, we engaged a third party to really go through function-by-function our cost, help us do some benchmarking and they'll also help give thought to how we set these functions up or make modifications during the functions that would benefit us in the long run as we look to grow. So that works wrapped up. The teams, the functional leaders have looked at that and have set the plans out. As we work through Q2, we finalized those plans and are ready to begin executing on those. There is a piece that is -- was woven through the comments that we had this morning, that there is a required level of functional support that goes along with the P&E business. So as long as we continue to run and operate the P&E business, we're going to need quite a bit of those resources in order to do so. So really what the teams are doing is making sure that the plants are ready and to the extent, there can be actions earlier than the exit of P&E, we'll do so. But it's really needing to time those in concert with the sale of the business, the execution of the TSA of those -- of that business and then go ahead, and move through the [inaudible]. So what I would say is, as it relates to the divestiture process, timing of that is difficult to predict. The process is going very well, and as we seek to get that wrapped up, it's most likely that most of these actions will get started, may be toward end of this year, and then we'll begin to really materialize through the course of 2020.
Adam Farley: Okay. Thanks. I'll pass it on.
Marc Michael: Thanks Adam.
Operator: Thank you. The next question is from Mike Halloran from Baird.
Mike Halloran: Hey, good morning gentlemen.
Marc Michael: Hi, Mike.
Jaime Easley: Hi, Mike.
Mike Halloran: So just sticking on the trends out here, how much -- just try to give some context around how much the sale process here is impacting the timing of how quickly you can move on some of these productivity initiatives, I mean, it sounds, based on past response that you're getting yourself event, setting up in certain areas, moving in other areas. But maybe give some context to the pacing as we look through here? How much of this now is just preparation before final sales and acceleration? Or is it pretty consistent across the board there?
Marc Michael: Hey, Mike, yes, it's Marc. As Jaime was mentioning, I mean, the 2% to 3% cost initiatives we have, there's not really impacting significantly our ability to move forward with those. Again as Jaime mentioned, we've got plans in place, each function has their particular goals and objectives, and they've identify the pathway to get there. So we'll start working on those as we go through the second half of the year, and expect to fully realize those benefits for the time we exit 2020, and so as we get into the early part of next year, we'll provide a complete schedule around how we expect those to develop based on our 2020 guidance. But well defined and we know how those are going to layer in as we move through the 2020 time period on the 2% to 3% margin expansion through cost productivity. And the other point that was mentioned in the prepared remarks, the $6 million of cost that we've got in the corporate line, that's the cost that supports the P&E business, and that's the part that the timing of that coming out will depend upon a bit of the transaction timing, the close timing, and how long those support costs are needed. Now what's important is that $6 million would be intended to cover in a TSA with the new owner until which point that -- those support services aren't needed anymore, and then we would take those costs out of the business.
Mike Halloran: Makes sense. And then on the F&B system side, is the second quarter the last of the lower-margin stuff? Or there's any of that triple through into the third quarter from here?
Marc Michael: Yes. We have a minimal amount of revenue associated with the large dry dairy projects in both Q3 and Q4, kind of evenly split between the two quarters, about $5 million in revenue for each quarter. So once that trends -- that's the backlog, we're finished with that revenue stream on those large dry dairy system projects. What I would mention about the backlog and what's supporting part of the gross margin expansion we expect to see in the overall margin improvement is about a 400-basis point improvement as we get into the second half of the year if you compare to where we started the year. So our backlog is really improving across the board with about 400 basis points in total. And the systems business even looks a bit better than that as we go into the second half of the year in terms of margin performance improvement.
Mike Halloran: That's good. That's very good. And then last one from me. The -- so obviously, you're going to be in a really good financial situation once the transaction closes just from a down seat perspective. May be just talk a little bit about one of the promise that you're thinking of looking at, which is more targeted inorganic opportunities in the acquisition side, is that something you're filling the funnel for now? And what does that look like from your perspective?
Marc Michael: We are. We're building the funnel now. We're actually doing some additional work with some third party's support to look at various micro verticals where we can identify really high-value, high-quality of revenue streams that we want to pursue. So we'll look at things that are closer to core and some near adjacencies. But we are building that funnel and as that develops and opportunities present themselves, we'll be considering them. We're going to be disciplined now as we've always been in thinking about how we're deploying capital, and make sure that we can create value in deploying that capital, and get a good return.
Mike Halloran: Thanks, Marc. I appreciate it.
Marc Michael: You bet, Mike. Thank you.
Operator: Thank you. The next question is from Julian Mitchell from Barclays.
Unidentified Analyst: Hey, good morning, everyone. This is Jack Harvallowan [ph] for Julian.
Jaime Easley: Good morning.
Unidentified Analyst: So I guess, one quick question some of these project push outs that you're seeing from your customers. You cite that some of it is stemming from sort of trade and tariff conflicts. Do you get a sense of how far the push outs are, is it kind of a one quarter, two quarter out or do think your customers are sort of sitting on the sidelines until there's a bit more of a solid resolution, I guess, especially in light of things ramping up this week?
Marc Michael: Yes, boy, that's a good question and really a bit tough to call exactly what the timing will be. That's why we feel we've been prudent in looking at what the run rates have been in our shorter cycle business that tends to support especially North America, some of that capital deployment where customers may doing upgrades. So, we anticipate that we'll continue to see a steady rhythm -- and this is specifically in our Food and Beverage business, but albeit at a slower level than what we've seen historically over the last couple of years. This is really a bit unprecedented. Typically, these slowdowns are more short in nature for this short cycle business. But we started experiencing it even if you go back to the second half of last year and it's kind of continued through, so a bit difficult to make that call. The pipeline, though it's still there. We've got a funnel that's active. It's -- it ticked down a bit in Q4 but came back to the first half of the year in terms of the funnel but the conversion rates have been a lot slower than historical but we're watching it closely. We know what the projects are and we're well-positioned when -- should the customers, and when the customers decide to release the capital.
Jaime Easley: Yes, I'll just add to that. That was the description of the components business of the U.S. and I think you're also asking about some of the F&B systems business. So you saw in one of the slides that our systems business has come in the last few quarters, been $40 million to $45 million of revenue. What we do have in the second half is a fairly significant uptick in order intake around systems. I think Marc mentioned in his prepared remarks that we've seen a strong July already around the systems business. And those are the projects that we've been more selective in watching and are seeing come through now. And Marc also made reference to the margins in backlog and quality of those bookings, and the references he gave to 400 basis points of backlog margin improvement since year-end and 600-basis-points margin improvement from June of last year. The projects that we are taking in here in Q3, and for the rest the year should be at or accretive to those margins.
Unidentified Analyst: Got it. Thanks for that. And then one quick follow-up. Just getting back to capital deployment. Leverage is starting to trend down towards that kind of 1.5 lower end of your target and so I'm just curious if there's sort of a timeline for when more deployment to rather return to shareholders or acquisitions coming to play. I know that cash flow is kind of earmarked for debt pay down right now. And so, particularly and I guess, in light of Power and Energy closing, is that something that has to come first before you see more buybacks, more dividends, more acquisitions or is just kind of a running analysis on the whole ROIC basis?
Jaime Easley: Yes, I would say we've committed to getting our debt down to the lower end of our range as you referenced there. And I think we'll continue to do that through the course of the year and then the playbook certainly opens up quite a bit whenever we complete the divestiture of P&E. And so the approach that we're going to take at that time we'll be to probably keep a certain amount of cash on the balance sheet to pay for some of the restructuring activities that we talked about here. There are also some investments that we'll make either within our factories or on the organic side of the business. And then we'll also -- as you made reference to there, going to target a return to shareholders in some fashion, and between now and then, we'll continue to watch I where the stock trades, what the best approach to that will be. But we do recognize the dilution effect of selling the P&E business, and that would be taken into consideration whenever we look to deploy those proceeds.
Marc Michael: Yes, I would just add to that. I'd mentioned that once we understand what the proceeds are for the sale -- from the sale of the power and energy business and we look at which areas we want to redeploy that capital and those proceeds. Hey, if we end up under 1.5 for a period of time, that's OK, right? I mean, a healthy, strong balance sheet in uncertain times is a good position to be in. And that'll allow us more flexibility and more dry powder to do things we want to do over time. So our target ranges is 1.5 to 2.5 but being below 1.5 for a period time with a really healthy balance sheet during these kind of uncertain times, that won't be a bad position to be in. That would be a really good position to be in.
Unidentified Analyst: Got it. Thanks. That'll be all from me.
Marc Michael: Thank you.
Operator: Thank you. The next question is from Robert Barry from Buckingham Research.
Robert Barry: Hey, guys. Good morning.
Marc Michael: Hi, Robert.
Jaime Easley: Hi, Robert.
Robert Barry: Yes. I agree with you on the comments on the balance sheet at this stage in the cycle. It sounds good to me. I wanted to the just clarify a couple of things here on Slide 10, kind of the guidance bridge. So you're putting out $500 million of revenue from Power and Energy, $50 million in segment income. I think that implies a 10% margin. You have guided to 9% in the Bran+Luebbe business. I thought even higher than that, kind of imply would be coming out, would be, I don't know, 7% or 8%. Is there some adjustment in the math there?
Jaime Easley: Well, Robert, what I would say is the shift from the power and energy business into our industrial, you're correct, is principally the Bran+Luebbe brand, which does have segment margin slightly above the average for that business. In addition to that, there are smaller moving pieces within there that generally aren't material but they may affect the total debt you'll see come over. So it's principally the Bran+Luebbe brand, but some more that's coming over as well. As it relates to the reduction of revenue and margins and operationally, so we'll have revenue coming down $50 million and the EBITDA coming down by $5 million. About half of that revenue reduction will relate to our systems business, and then another half would be the shorter cycle componentry. From our standpoint, happy to see the detrimentals there really benefited by some of the margins that we talked about now in backlog, some of the price cost improvements that we've seen over the course of this year. And so really trying to protect on those EBITDA side of the deleverage. But back to your point of what's coming over. There are some details and moving pieces that Stuart or -- can help you with later.
Robert Barry: Right. Yes actually and where you went is where I was going to go next. So $3 million out of EBITDA on $50 million of sales, especially when it sounds like you're also now including $6 million of costs kind of implies that the kind of like-for-like EBITDA guidance is a little bit better. Is that right? It sounded like there are a couple of things that might be tracking better than you thought, price costs or -- but I wanted to clarify that.
Jaime Easley: Yes, I think that's the main driver, would be how we're seeing price cost develop through the course of the year, and then as we kind of look forward and with some of our trends we see on the inflation side, and where we sit with price, continuing to see that momentum will be the biggest difference.
Marc Michael: Yes, the other thing I would add to that, Robert, there's price, there's our supply chain teams doing a great job on mitigating inflation, as Jaime was mentioning. And then I kind of under emphasized the impact of our systems switch, and what we're doing with these more lucrative liquid projects and having a better margin profile. So we're really going to see a significant flip in the margin profile there as we go into the second half of the year. So a lot of this will show up in half to half in our food and beverage business with better systems margins, the restructuring is another important piece that we're -- we've also done, too, and completed.
Robert Barry: Got it. I guess, just lastly from me, and maybe this also points to things tracking better on the cash flow, I think you're guiding midpoint, $115 million, now it's $85 million. So that's $30 million less on pulling out $72 million of EBITDA. I mean, maybe there's like, $5 million or $8 million of CapEx there. So it seems like, I would have expected like, $65 million, $70 million of cash flow out, and you're only reducing the guide by $30 million. So is there also some kind of, I don't know, working capital tracking better or something else in that bridge I'm missing?
Jaime Easley: No. I think if you take it back to what's on the face of the statement of cash flows. So year-to-date, we'll have, in total, so this would be continuing ops and disc ops of $30 million of free cash flow. As we work throughout the course of the year, we do expect that to trend back up to, call it the $110 million to $115 million. And then the split between disc ops and continuing ops are difficult to get to from a GAAP financial statements, and it comes from a place of how certain balance sheet positions have to go through continuing operations, and maybe disconnected slightly from the P&L of disc ops and continuing ops. But what I'd say in broad strokes, Robert, is that that we do see some level of improvement starting to come through in working capital, particularly in AR. The last bit of Q2, we saw some pretty significant improvements in inventory. And then the other big driver for us on the working capital front and free cash flow would be our systems business. So as a reminder, those tend to be larger orders and do come with a degree of down payments and milestone payments to the front end of those projects. And as we've taken in the less number of systems orders this year, that's been a headwind for us, and I think we've mentioned now a couple of times the developments we've seen already in July, and what we're expecting through the remainder of the year. We are expecting that that will turn positive for us as we exit the year.
Robert Barry: All right. Thanks for all that color.
Jaime Easley: You're welcome. Thank you.
Marc Michael: Thanks, Robert.
Operator: Thank you. The next question is from Nigel Coe from Wolfe Research.
Nigel Coe: Thanks. Good morning.
Marc Michael: Good morning.
Nigel Coe: So we've covered the capital deployments side in some depth. But you did mention the first sort of option was organic investment, which a lot of companies do talk about. But I'm just curious what that means for you guys. And I'd be curious if there was any degree of constraints that you've had in the last year or two within that and organic in your business, and then how that might kind of change with a stronger balance sheet?
Jaime Easley: Yes. Yes, sure. So I think about it in a couple of different buckets. The first would be in new product development and investments to change the level of NPDs that come out. And so Dwight and his team have done some restructuring here recently, reorganization and they have created an organizational design which I think are going to allow us to bring ideas to the forefront faster, allow better visibility across the organization, too, investment opportunities and give them, that net team, a framework of where and how investments, and new products are tied to our strategy. So I think historically, you would've seen that we spend roughly 1% of our revenues in NPD. We believe that an absolute driver of future success is going to be to push up the vitality index, and the vitality of our revenue profile to improve the quality of revenues, and that would lead to, I'd say, at least double over a period of time. So the team is working on really again identifying those opportunities, pulling those to the forefront, we're going to look to the fund those in more rapid pace than we have historically. So that would be on the product size. And then as we look to the plants, we've historically spent on CapEx a bit less than depreciation. And there are a number of our plants which we believe could significantly benefit from some recapitalization, and Ty Jeffers and his team are aligning that back to the product strategies and bringing those ideas forward, we've seen some come forward more rapidly here in just the last couple of months, and we expect to continue to see those come during the second half of this year and into next year. So CapEx, recapitalization, factory automation, those type of investments that we believe would allow us to reduce the lead times of our products, serve customers faster, and a higher quality. Those are roughly the buckets of organic investments that I think we're going to focus on.
Marc Michael: Hey, Nigel, the other one thing I would mention is that -- those 2% to 3% cost productivity objective we have and as we go through the next 18 months, we'll need to deploy a certain amount of cash and capital toward that. So the good news is, and I think the beginning of your question, it was percent in the past, over the past several years from during the things that we wanted to do in terms of capital deployment, everything's going toward debt reduction in our restructuring efforts. I mean, that's -- hasn't been a very balanced approach. So Jaime's goal is to really balance that out and mine, too, in terms of how we're deploying capital and being -- hitting more important areas and products, in our plants and how we're returning to shareholders and in organic investment. So we're going to look to really balance out the capital deployment much differently than it's been in the last three years and we're going to be able to do that on the back of a much stronger balance sheet and better cash flows.
Nigel Coe: Thanks. That's helpful. Marc, you just touched on this here and in terms of -- you're driving toward that 2% to 3% goal. Is there a need to -- with the trend effect on the projects and obviously, the weaker demand environment, is there a need to do another big bang restructuring program?
Marc Michael: Yeah, I don't see a big bang restructuring program. Some of the things we put in place of the last couple years, learning from experience, and being very disciplined in our hiring efforts. We've been managing our overall cost structure and headcount much more effectively. So even as we saw moving through the first half of this year, things are not developing as we had anticipated. We were slowing down the hiring process in certain areas, and making sure that we weren't running as much overtime in our facilities, reducing our contractor headcount. So I don't see the need for a big bang. We'll continue to manage that prudently as we move the second half of the year, and look and see how our orders develop.
Nigel Coe: And then a quick follow on. Obviously, you've discontinued the bulk of the power and energy portfolio and given you've bisected certain parts in that [Inaudible] industrial. I'm not sure how to import the question, but just have some sense -- can just give sense of how the business is tracking versus your plan so we can do sensitivity around what we can see as proceeds? Has the business -- is the business tracking more or less the plan? Or is it deteriorating sharply?
Marc Michael: For Power and Energy?
Nigel Coe: Yes.
Marc Michael: Yes. No, I mean, Jose Larios and his team did a good job in Q2. We mentioned that as we expected the order rates recovered sharply from Q1 to Q2 with good North American pipeline valve orders, they executed it as double-digit income margins. So much better than anticipated, hit the revenue objectives. So really good execution, couldn't be more proud of the team and they're on the right path. And just to reemphasize, we've made that switch already internally where Jose and his team are running that part of the business and then spent the bigger part of Q2, not only executing a good quarter, going through various aspects of management presentations and factory visits from interested buyers. So we're already moving in the second phases of due diligence and expected to be doing final bids for power and energy. So it's performing well. Jose and his team are doing a pretty great job, and we're confident as indicated about a positive outcome.
Nigel Coe: Great. Thanks very much.
Jaime Easley: Yes. I would just add to that. Marc mentioned the orders, which we've seen come in through Q2, which at the end of Q1, we said there's timing differences there. Those orders that we expected to be timing of all come in in the second quarter. The aftermarket stream and order profile, that business continues to remain strong. And then when you just look at the margin performance of that business, it's up almost 200 basis points from where it was in Q2 of last year. And kind of run on an old basis, our segment income margins for that -- for P&E here in Q2 would've been the highest that it has been for well over a couple of years. So the business is performing very well. Jose and team, as Marc mentioned, have done a lot of product, to reach their customers and customers are responding well, factories are performing well. So it's nice to see that business is holding together very well through, all the things that Marc mentioned that's been going on this quarter.
Nigel Coe: That's great to hear. Thank you very much.
Marc Michael: Thanks, Nigel.
Operator: Thank you. The next question is from Brett Linzey from Vertical Research.
Brett Linzey: Hi, good morning, guys.
Marc Michael: Good morning.
Jaime Easley: Good morning.
Brett Linzey: Hey, just want to come back to productivity and some of the streamlining efforts. It's good to hear that teams are primed and ready to go here. But just in terms of pace, once initiated, what's the timing of when these products productivity starts to ramp? Is it more back-end loaded, heavier lifting? Any color in the phasing now that the plans are finalized would be great.
Jaime Easley: Yes. I would say that they are somewhat back-end loaded. So a number of the actions that we have are ones that require a fairly significant degree of planning, a fairly significant degree of execution across multiple parties, multiple jurisdictions, etc. So they're in motion now. I think, to Marc's point earlier, we'll see some of them take place over the second half of this year. But really begin to take shape in the first half of next year. I think that well over half of the savings will begin to hit in the second half of 2020, but unlikely that we're going to see the fully realized benefit before the 2021 of all the actions. There's the piece that relates to P&E that the teams have to make sure that there's certainty around knowing where that business will go in with the TSA needs will be, but the remainder of the projects are well under progress and planned, and we'll begin to be executed fairly soon.
Brett Linzey: Okay great. And then maybe just a question on China specific to orders. How are orders in the quarter in the segment? And then what are you assuming in the guide for the balance of the year? And then the follow-up there would be, have you seen any type of nationalist stance with respect to new bids and activity in that region?
Marc Michael: Yes, sure. So in China, let's maybe break it down again, between food and beverage and industrial. So systems business in the quarter was a bit slower than we expected, but as I mentioned, we had some LOIs in hand that we expected to translate into orders within Q2 that didn't happen but we're already seeing them come through in Q3. So Q3 orders coming in and systems have picked up and then in food and beverage for more of our components business and aftermarket business, we did see that increase sequentially within the quarter. So overall, the business in food and beverage is operating as we expected with an exemption of some timing associated with the system orders. I would just follow on with that thing that we're still staying really disciplined in our selectivity on system business and pricing, and that goes across the entire business. And then as you look at the industrial business in China and across APAC for that matter, we saw a nice acceleration of our industrial component business or short cycle business from Q1 to Q2 in China. So overall, I would say in China, the business is -- in the first half of the years is performing well. We expected to perform well in the second half and even look better with the systems business that should come in and that we're already seeing here early Q3. And I couldn't point to any specific to say that there's any evidence of nationalism. We're just -- we're well anchored there with our team. We're localized with our teams, and they're executing the plans they have in front of them. Hello?
Brett Linzey: Sorry just one quick follow-up with the sale process. Can you speak to the types of buyers that are looking at the asset? Is it a combination of strategic and financial buyers or maybe just some more color on how long the bid list looks today.
Marc Michael: Yes, we've had interest from both and I would say healthy bidder list and we're pleased with the overall interest. And I'm not going into a lot of depth on the number of bidders and who's still in the process, but again, we're confident that things will progress through the second half of the year and as I mentioned, we've gone through already first round bids. We've gone through management presentations. We've gone through site visits, and then we're in the process of due diligence right now and preparing for kind of second round final bids. So process is moving along well, and we'll provide an update as soon as there's significant developments on that front.
Brett Linzey: Okay, great. I appreciate it. Thanks.
Marc Michael: You bet.
Jaime Easley: Thank you.
Operator: Thank you. The next question is from Deane Dray from RBC Capital.
Andrew Krill: Hi, thanks, good morning. This is Andrew Krill on for Dean. Just wrapping up on P&E, a quick question just -- can you comment? It seems that the process is going well, but just has the choppiness I oil and gas recently had any impact on potential sales multiples? And would you be willing to sell the business in pieces rather than the whole segment at this point? Thanks.
Marc Michael: Yes, hi, Andrew, maybe work backwards from there. We plan to sell the business as one business as we've defined it. We don't have any intention to break it apart and sell it individually. And the interested parties are looking at the business that way. And as you can see from the performance that we're getting from the team or getting what the teams of then, not only in Q2 but building up to this point, performance continues to improve, and we would expect that to support a good value for the business as an outcome.
Andrew Krill: Okay, got it. And then just lastly, on tariffs, recently, the pressures kind of seem to continue to ratchet up. So just before you comment on price cost, seems to be in your favor still. But just have you seen any increasing in the direct input cost at this point? And like, can you give it give us some other color on your confidence in offsetting any potential increases?
Marc Michael: Yes, tariffs, specifically the products that we produce at this stage, there's not really an impact there in the most recently announced tariffs. It doesn't really touch our area. What I would say is our supply chain team has done a really nice job this year in minimizing any inflationary implications throughout the year or impacts throughout the year. So we're in a good spot with what our commercial teams have done on price, our supply chain team is doing a good job in tariffs themselves on our products we're producing are having a significant impact as we move to the second half of the year. We wouldn't expect that given the recent announcements. But going back to what is impacting is that in the food and beverage part of our business, those customers are being impacted, and we believe those tariffs -- Chinese tariffs, the tariffs from China are influencing their capital deployment decisions, and that's what's impacted our short cycle volume.
Andrew Krill: Okay, great. Thank you.
Marc Michael: You bet, Andrew.
Operator: I am showing no further questions at this time. I would like to turn the conference back to Mr. Ryan Taylor.
Ryan Taylor: Thanks, Ian. I appreciate everybody joining the call today. That concludes our webcast for the Q2 earnings presentation, and Stuart will be available throughout the day to answer any follow-up questions that you might have. Thank you for your participation, and we'll talk to you next time.
Marc Michael: Thanks, everyone.
Jaime Easley: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.